Operator: Welcome to the Portland General Electric first quarter 2009 earnings results conference call. Today is Monday, May 4, 2009 and this call is being recorded. (Operator Instructions) For opening remarks, I would like to turn the conference call over the Portland General Electric's Director of Investor Relations, Mr. Bill Valach.
Bill Valach: Good morning everyone. We're pleased that you're able to join us today. Before we begin our discussion this morning, I'd like to make our customary statements regarding Portland General Electric's written and oral disclosure and commentary. There will be statements in this call that are not based on historical facts and as such, constitute forward-looking statements under current law. These statements are subject to factors that may cause actual results to differ materially from the forward-looking statements made today and for a description of some of the factors that may occur that could cause such difference, the company requests that you read our most recent Form 10-K and Form 10-Q's. The Form 10-Q for the first quarter of 2009 was available this morning at portlandgeneral.com. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, current events or otherwise and this Safe Harbor statement should be incorporated as part of any transcript of this call. Portland General Electric's first quarter 2009 earnings were released before the market opened today and the release is available at portlandgeneral.com. With this release, PGE announced earnings of $31 million or $0.47 per diluted share for the first quarter ending March 31, 2009 compared to $28 million or $0.44 per diluted share for the first quarter ending March 31, 2008. With me today are Jim Piro, CEO and President and Maria Pope, Senior Vice President of Finance, CFO and Treasurer. Jim will begin the call with an overview. Maria will then discuss in more detail our first quarter results, and then we will open the call up for questions. Now I'd like to turn it over to Jim.
James Piro: Good morning everyone and thank you for joining us. Welcome to Portland General Electric's 2009 first quarter earnings call. On today's call we'll review earnings, address the key drivers to our performance and reaffirm guidance for 2009. Then I'll update you on Oregon's economy and the outlook for our operating area. Finally, I'll discuss the progress we're making on our strategic initiatives. Later, Maria will provide details on first quarter results, current regulatory proceedings, our liquidity as well as recent equity and debt transactions. So let's get started. PGE's net income for first quarter 2009 was $31 million or $0.47 per diluted share. Revenues increased in first quarter 2009 compared to first quarter 2008 as the General Rate Case order went into effect at the beginning of the year. However, a reduction in energy sales, higher power costs and increases in other operating expenses offset this increase. Maria will go into more details later on the call. It's been a busy year. We've been working diligently to secure financing for our capital expenditure program to fund projects to deliver value to our customers and shareholders. In March, we issued 12.5 million shares of common stock for net proceeds of $170 million and during the first four months of the year, we raised $430 million through the issuance of first mortgage bonds. These transactions will provide sufficient liquidity to meet our debt maturities as well as fund our 2009 capital expenditure program. Now, I'll move on to 2009 guidance. PGE is reaffirming full year 2009 earnings guidance within the previously disclosed range of $1.80 to $1.90 per diluted share. Guidance assume normal plan operations and reflects steps taken to align our operating costs with the Oregon Public Utilities Commission's General Rate Case order issued in January. We're also reaffirming our long term annual earnings growth expectations of 6% to 8%. Now I'll provide you an update on Oregon's economy and specifically our operating area. The slowdown in the state's economy has continued. Oregon's unemployment rate rose to 12.1% in March compared to the national unemployment rate of 8.5% for March. The unemployment rate in our operating area rose to 11.2% in March which is approximately 1% below the states overall rate. A large part of Oregon's unemployment increase is due to continued in migration with 60,000 people added to the labor force during the last year. On a percentage basis, Oregon's labor force in March 2009 grew 3% from March 2008 which tied with Nevada as the nation's fastest growing labor force while the U.S. labor force remained flat. We do continue to see growth in our customer base. We served approximately 814,000 customers at the end of the first quarter of 2009, an increase of approximately .5% from the end of 2008. However, weather adjusted retail energy deliveries were down 1.3% in the first quarter of 2009, relative to 2008. We currently project weather adjusted energy deliveries for 2009 to decline by approximately 1% relative to 2008. This decline is due to a reduction in energy use by our customers, specifically in the industrial sector. Despite the economic conditions in Oregon, our business is performing well and we remain focused on delivering value to our customers and shareholders. We've had the opportunity to talk to many of you recently in face to face meetings or during one on one calls about PGE and our strategic direction. This strategy reinforces our commitment to our core business as a vertically integrated utility. The three main focus areas that we use to continuously measure our performance are; operational excellence, corporate responsibility and business growth. I'll report on each of these areas both what we've accomplished and where we're headed. In the area of operational excellence, we continue to receive positive feedback that tells us we are meeting our customer's needs. Today, I'm pleased to announce that the National Renewable Energy Laboratory just released its annual rankings and fourth year in a row; PGE sold more renewable power to residential customers than any other utility in the United States. Overall, we ranked number two for total number of customers participating in renewable programs and total renewable kilowatt hours sold to residential and commercial customers combined. These rankings reflect our customer's commitment to green power and our commitment to delivering renewable resource options. Our most recent independent survey showed that overall satisfaction for residential customers remains in the top quartile and in the top decile for small and medium sized business customers. In the first quarter we continued to have excellent generation plan availability with PGE owned hydro at 99%, wind at 96% and thermal at 99%. I do want to update you on the Coal Strip plant in Southeastern Montana. They've extended the scheduled 2009 maintenance outage of Unit four which began on March 28. Two turbine rotors were found to be damaged. Both have been sent to the manufacturer for repair. It's currently estimated that the outage will be extended by eight to ten weeks with the unit four now expected to return to service in late July 2009. PGE has a 20% ownership interest in Coal Strip's unit three and four with each of the units providing 148 megawatts or approximately 6% of PGE's total generating capability. Our share of the repair cost has not yet been determined. In addition, we estimate the incremental power costs to replace the output of unit four through late July to be between $2 million to $3 million. Now, on to hydro. Since our last call, hydro conditions have improved. The April 23 hydro run off forecast indicates slightly lower than normal conditions for 2009 including 95% on the Deschutes River, 107% of the Clackamas River and 90% on the Columbia River at Grand Coolie. First quarter results for power quality and reliability including customer outages, outage durations and momentary interruptions are on track to meet our 2009 goals. We've also been working very had in the area of corporate responsibility, especially with so many initiatives on the public policy front. Carbon related legislation is getting a lot of attention both at the national and state level. At the Federal level, we support the Edison Electric Institute's Global Climate Change Points of Agreement. We're partnering with others in our industry to help Congress and Federal policy makers understand the importance of this issue and the implications to our industry and our customers. At the state level, we are working with customers and other stakeholders to develop legislation that creates achievable carbon reduction strategies including increased funding for energy efficiency, adoption of an emission performance standard for power plants, expanded transmission capacity and flexibility to bring renewable power to our customers and scoping and planning to help meet Federal standards once adopted. Now I'll move on to our growth opportunities. Let me give you an update on some of our major capital projects, first, our Smart Meter's project. We're pleased to announce the full deployment the approximate 850,000 Smart Meters has begun. Approximately 25,000 new meters have been installed within our service area including 15,000 as part of the project's system acceptance testing phase. PG estimates the capital cost of the Smart Meter project to range from $130 million to $135 million and we expect the project will be completed by the end of 2010. Next, our Selective Water Withdrawal Project at the Pelton Round Butte Hydro facility on the Deschutes River. We've encountered a delay with the construction of this project. On Saturday, April 11, construction crews were in the process of positioning components at the conduit when it separated. And analysis is taking place to determine the root cause as well as the estimated cost and time lines for completion. On April 14, we filed a motion with the OPUC to request that the schedule for the inclusion of projects costs in process be suspended due to the recent delay in constructions. Currently the delay is anticipated to be a minimum of four months from the original completion date. This project is an essential part of our licensing agreement and important for the restoration for fish runs in the upper Deschutes River basin. Next, Biglow Canyon Wind Farm, we're very pleased with the progress we're making at Phases II and III at Biglow Canyon. Construction is on schedule with completion of Phase II expected by late summer 2009 and Phase III in 2010. The two phases will have the combined installed capacity of approximately 324 megawatts and with the completion of both phases; we will now serve approximately 11% of our load with renewable energy as defined by the Oregon Renewable Energy Standard. This moves us closer to the RES benchmark of 15% of our load served by renewable resources by the year 2015. The estimated total cost of Phase II is $326 million including $10 million of AFDC and Phase III is $433 million including $27 million of AFDC. Our investment in Biglow Canyon will be fully included in the prices through the renewable adjustment clause mechanism. Our first filing for this mechanism was on April 1. Maria will provide more details on how this mechanism works. For additional renewable resources, we issued a request for a proposal last spring seeing up to 218 average megawatts. We have identified a short list of bidders and we expect negotiations to be completed in 2009. These new renewable resources will become available by the end of 2014 and will also help fulfill our commitment to meet the requirements of the Renewable Energy Standard. We're preparing our 2009 integrated resource plan which we expect to submit to the OPUC later this year. The resource requirements were drafted in the IRP include the following; expansion of energy efficiency programs, additional renewable resources to meet Oregon's Renewable Energy Standards including the integration of an increasing amount of wind power, new facilities to meet base load and capacity requirements, the economics of the mission controls on the Borgman plant, and a new transmission project called Southern Crossing. Let me go into more detail on some of these projects. PGE needs additional energy and capacity to meet its retail load which creates potential for new generating resources and we're considering the following; a 300 to 500 megawatt natural gas fired combined cycled facility located at Borgman to help meet our customer's energy requirements, and a 100 to 200 megawatt natural gas fired simple cycle facility to Port Westward to meet our customer's peak load requirements and balance our variable wind resources. These potential resources will be included at self build options in a formal RPF bidding process following the OPUC acknowledgement of the IRP. As I mentioned, part of our IRP is the evaluation of the economics associated with installing new emission controls on the Borgman plant. In December 2008 the Department of Environmental Quality issued a proposed plan that would require the installation of additional controls in three phases with the completed date between 2011 and 2017. The plan is outlined in the Form 10-Q. We submitted comments on the DEQ's proposal requesting a phased approach which would allow for certain decision points along the time line in order to provide flexibility and to help us make the most responsible decisions on future controls. The estimated cost in nominal dollars is between $575 million and $640 million. This is 100% of the total cost excluding AFDC. The public inquiry period is closed and the Oregon Environmental Quality Commission is expected to adopt a rule in June of 2009. The rule is then submitted to the Environment Protection Agency for approval. We expect the EPA to issue their decision in early 2010. And finally on transmission, we are studying a 200 mile 500 KB transmission project referred to as Southern Crossing. The project is being designed to meet growing demand, provide system reliability and help bring new renewable generation to our operating area while reducing our payments to third parties for transmission. The estimated cost of the project in nominal dollars is currently between $600 million to $750 million. This is 100% of the total cost excluding AFDC. With that, I'd like to turn the call over to Maria Pope, our Chief Financial Officer to discuss our financial results in more detail.
Maria Pope: Good morning. As Jim mentioned, net income was $31 million or $0.47 per diluted share for the first three months ended March 31, 2009. This compares to net income of $28 million or $0.44 per diluted share for the first quarter of 2008. Revenues were higher in the first quarter of this year as a result of price increases that went into effect on January 1. These higher revenues were offset by a reduction in energy sales, higher power costs and increases in operating expenses. Power costs were impacted by $3.4 million after tax, or $0.05 per diluted share as hydro production was lower than normal in Q1. 2009 first quarter results were also impacted by a $2.6 million after tax loss or $0.03 per diluted share from a decline in the fair market value of our non qualified pension benefit plan assets and additional costs related to the December 2008 storm. 2008 first quarter results were impacted by $3.7 million after tax loss of $0.06 per diluted share, also from a decline in the fair market value of the non qualified benefit plan assets and refunds to customers under FC-408. In 2009 PGE has been active in the capital markets with total issuances of $600 million consisting of the following three transactions; first, in January we closed on $130 million issuance of first mortgage bonds with interest rates ranging from 6.5% to 6.8%. Second, in March we issued 12.5 million shares of common stock for net proceeds of $170 million. And finally, in April we issued $300 million in first mortgage bonds at an interest rate of 6.1% in part to refinance $142 million of pollution control bonds redeemed on May 1. This completes our financing requirements for this year's capital expenditure program. PGE anticipates issuing $375 million of debt in 2010 with part of the proceeds used to redeem $186 million in maturities and the balance to complete Biglow Three and other capital projects totaling $522 million which are outlined in our 10-Q. We continue to focus on our investment grade bond ratings. Our senior unsecured ratings are B AA 2 by Moody's and BBB plus by Standard and Poor's. PGE had $495 million in borrowing capacity under two credit facilities. The first facility is $370 million unsecured multi-year revolver. The second facility is an also unsecured $125 million 364 day revolver. These credit facilities provide working capital as well as liquidity for our power supply operations and price risk management activities. We have entered into four contracts for power and natural gas to meet our retail load and as a result of falling power and gas prices; we have posted collateral to meet margin requirements under these contracts. As of March 31, we had posted $409 million in collateral with wholesale counterparties consisting of $205 million in cash and $204 million in letters of credit. As of April 30, collateral posted was $380 million, declining as positions rolled off through the month. If market prices remain unchanged from April 30 levels, we anticipate that 45% of the current collateral deposits will roll off in 2009 and another 45% will roll off in 2010. The posting of collateral for margin requirements affects cash flow, but it is important to note the cost associated with gas and power contracts are either currently in or are anticipated to be in customer prices. As of March 31, we had no commercial paper outstanding, no direct draws on the revolver and $223 million in outstanding letters of credit. As of March 31, total availability under our revolving lines of credit was $272 million which compares to $166 million at the end of 2008. On April 30, 23 had $279 million available on our revolver and excess cash of $294 million. On May 1, $146 million of excess cash was used to redeem the Pollution Control Bond and pay related accrued interest. Our debt to capital ratio was 48.3% on March 31 and 50.9% after the April 16 issuance of 300 million of first mortgage bonds offset by the redemption of the Pollution Control Bond on May 1. I will not go on to discuss the stimulus plan. The American Recovery and Reinvestment Act of 2009 provides for a number of enhanced tax benefits many of which are favorable to renewable energy projects such as PGE's Biglow Canyon wind farm. The tax benefit includes the extension of production tax credits from 2009 to 2012 and lieu of the PTC, the company may elect investment tax credits or Treasury Department Grants that meet certain criteria. Based on our preliminary assessment we believe we may qualify for Treasury Grants in the amount of $60 million to $90 million in the later part of 2009 and $80 million to $110 million in 2010 for Biglow two and three. We are also considering opportunities under the Act that would provide funding for Smart Grid projects, vehicle electrification and research related to the potential carbon capture project. Our assessment of the options under the Act are still preliminary and being reviewed. Now, turning to regulatory proceedings, the OPUC authorized a decoupling mechanism in the final order of PGE's most recent general rate. The decoupling mechanism went into effect on February 1 for an initial period of two years. This allows for recovery of fixed costs and earnings that are the result of customer's energy efficiency and conservations efforts. The decoupling mechanism tracks the differences between weather adjusted revenues that are collected on a per kilowatt hour basis with those that would be collected on a fixed per customer charge basis. This difference is accumulated in a balancing account and then refunded or collected over a future period. As of February 1, the net impact of the mechanism in the first quarter was approximately $500,000 which is included within revenues. On March 24, the Citizens Utility Board filed a motion to OPUC for reconsideration of decoupling. The OPUC has 60 days to respond to this motion. In the first quarter, PTE made the following regulatory filings. On April 1, we filed our initial 2010 forecast with updated power costs under the annual update tariff. Our initial filing indicates a slight decrease in pricing. Throughout the year, we will make several update filings. Power costs will be put into customer prices effective January 1, 2010. Also on April 1, we submitted our first filing under the Renewal Adjustment cost mechanism. This mechanism allows for cost of renewable resources that are expected to be placed into service in the current year to be recovered in customer prices without filing a general rate case. Our initial filing on April 1, included Biglow Canyon Phase II, the PGE's share of two solar projects. The filing requests revenue requirements of approximately $41 million with new rates to become effective on January 1. The $41 million increase consists of $6 million to be deferred in 2009 and $35 million increase in 2010 revenue requirements. These amounts are partially offset by power cost savings estimated at approximately $15 million for 2010, also included in the annual update tariff on April 1. Finally, an update to the Trojan Order, on March 19, the OPUC issued an order that reset and restarting the Trojan refund as outlined in the September 30, 2008 order. Based on the OPUC orders, we anticipate that the $33.1 million plus interest will be refunded to customers by the end of the 2009. In closing, the focus of our financial objective continues to support our core utility business, namely a solid balance sheet and adequate liquidity to maintain our investment grade ratings, sufficient access to capital markets to support investment in new and existing generating assets, and our transmission and distribution system, reasonable and fair regulatory outcomes while earning a competitive rate of return on our invested capital. Now, I'd like to turn it back over to Jim.
James Piro: In the first quarter all areas of our operations performed well. Customer satisfaction continues to be high. We're on track with major projects; Biglow Canyon wind farm and our Smart Meters project, and we continue to focus on our business strategy to strengthen our position as a leading regional energy provider through an emphasis on operational excellence, corporate responsibility and investment opportunities that support our core utility business, enhance service to our customers and deliver value to our shareholders. We'd now like to open the call for questions.
Operator: (Operator Instructions) Your first question comes from Brian Russo – Landenburg Thalmann.
Brian Russo – Landenburg Thalmann: You talked about your 2010 capital market needs in terms of debt and I'm wondering, it looks like your debt to cap is creeping up above 50%. I think that's even with the equity offering completed in March and I'm wondering, do you have any capital equities in 2010 to finance the CapEx.
Maria Polk: We are expected to be just a tad bit above our target 50/50% but as we collateral positions rolling off as well as with the $375 million of debt that we'll be issuing combined with the redemption of $186 million of bonds in 2010, we do not see any material change from where we are versus our target.
Brian Russo – Landenburg Thalmann: On the guidance, it looks like hydro is below normal in the first quarter and growth is slowing and I'm just wondering if you could talk about the positive and negative drivers that you've assumed in your '09 guidance versus '08.
Maria Pope: As we noted in the first quarter, we were off on hydro. Hydro conditions though since our last conference call and our expectation has increased almost ten percentage points on average and so we are expecting more hydro profitability in that area. Also, with the exception of the Coal Strip outage that Jim mentioned, our operating facilitates are doing quite well and we would expect the plants to continue to have a positive impact on our outlook. We are maintaining our guidance of $1.80 to $1.90.
Brian Russo – Landenburg Thalmann: Is the decoupling mechanism that began on February 1, are you able to mitigate any pressure on your ROE from the 1% decline in growth versus the flat growth you previously had expected?
Maria Pope: The decoupling mechanism is working virtually as we expected and that is in our forecast. And we've mentioned it in the first two months of this being in effect since February 1, we have seen about $5. million net benefit. And that's taking into consideration what we received through the decoupling offset by the ten basis point reduction in our ROE.
Brian Russo – Landenburg Thalmann: You mentioned that you expect hydro conditions to improve in the second quarter. Can we assume that 5% to 6% hit you took in the first quarter could possibly reverse in the second and third quarter? Could you see a net benefit to hydro?
Maria Pope: Yes. We are expecting that.
James Piro: A lot of it will depend on how the snow comes off the mountains. If it comes off at a rate that we can utilize all that hydro, it should work for us. But it all depends on weather conditions and how fast it melts and we could see it melt all at once or we could see it into the third quarter. So a lot of this will depend on temperature and the snow melt as it comes off as well as what the Canadians do with their upstream reservoirs.
Brian Russo – Landenburg Thalmann: Your initiative to realign your cost structure relative to the General Rate case outcome, can you cite some examples or projects that are ongoing and if you see any impact of that in the first quarter.
James Piro: We did see impact. A couple of things are going on. First of all, we've tried to realign our operations in the distribution area to reflect a couple of things. One is the fact that we're seeing less customer activity there and we have to place some of our crews to capital projects that need to be worked on. Typically we use contractors, and we've been able to deploy those crews to construction projects. That's one area. We've gone through all areas of operations to see where we can reduce costs to make sure we're still delivering value, but reducing mostly outside services. We've taken a very slow position on replacing open positions in the company and just looked where we can realign our operations. So it's a number of areas. You can't point to any one thing but we've looked at a number of things to lower our costs.
Operator: Your next question comes from Steven Gambuzza – Longbow Capital.
Steven Gambuzza – Longbow Capital: Can you repeat the comments you made about the Borgman controls? I just want to understand where that process is in terms of whether or not you're actually going to go ahead with that capital?
James Piro: Here's the process. The Department of Environment Quality has put out their proposal. We then submitted comments suggesting more of a phased approach to the decision point analysis to give decision points along the way. All of that is before the Oregon Department of Environmental Quality and then the Environmental Quality Commission will make a decision on that. What we think right now is that the Department of Environment Quality will put out a draft proposal in mid May and then the Environmental Quality Commission will make a decision in June. We'll then take whatever that decision is and model the economics of that proposal and present that to the Oregon Public Utility Commission as part of our integrated resource plan. The process there is to look at the overall economics of the project and what we'd like to get from the commission is some acknowledgement of the proposed actions. The challenge we have right now is we're not sure what the Environmental Quality Commission is going to decide. Are they going to adopt our decision point analysis or are they just going to say you need to do it all and you need to make that decision now. We have looked at the economics of these various options and proposals and have presented that to the stakeholder group in our integrated resource plan, but until we see the final Environment Quality Commission decision, we really don't have a firm proposal yet to model.
Steven Gambuzza – Longbow Capital: The comments you made about future resource needs given your short energy capacity position of 300 to 500 megawatts via Borgman and a 100 to 200 megawatt simple cycle up at Westward, does that assume that Borgman stays in the mix as a resource?
James Piro: Yes that would assume Borgman stays in the mix. If Borgman were to be phased out or shut down, we would have to replace it with an additional energy resource, another type of Port Westward type unit combined with a gas turbine.
Steven Gambuzza – Longbow Capital: What would the time period be on the simple cycle and PTC simple cycle that you mentioned?
James Piro: We're talking in the 2013 to 2015 time frame, someplace in that. We have to go through the process. The IRP has to get decided. The action plan will get decided. Then we do a request for a proposal where we would put in our self build options. That would likely go through the end of 2010, maybe into 2011 until we finally look at the economics of the proposals. If our self build options are the most economic, then we would start construction of those in probably mid to late 2011 and then complete those in '12 and '13 dependant upon the time frame. So what we're doing right now is we're going through the citing process for each of those projects. You have to go through the air permitting process. So we're going through all the permitting processes as well as identifying natural gas transportation options. That's the work that's going on internally as we work through the integrated resource planning process.
Steven Gambuzza – Longbow Capital: Your would imagine filing the application for the self build at some point in 2010 or 2011?
James Piro: We'll probably file them this year.
Steven Gambuzza – Longbow Capital: It seems one of the questions about whether to do a self build or whether you do a PPA is what the cost of the self build is and a key component of what the cost is going to be is what you're required return is, and just given the change in your cost of capital, is it fair to say that you're going to require a higher rate of return than 10% to go ahead and raise a bunch of capital and increase investment at this point?
James Piro: We do those economic analysis. We do an economic projection of what we think the ROE requirements are based on where we think Treasuries are and the risk profile of the company. We watch that very carefully to see that the ROE reflects what we think is a fair return for our shareholders. We will try to reflect that. At the end of the day, the commission decides what the ROE in each specific rate case. They really aren't making a decision on that self build option relative to our ROE. It is for planning purposes only at that point. We will have to make our case before the Public Utility Commission in a General Rate Case on what the appropriate ROE is for our company. I think you're seeing a trend in the industry across the national that ROE's are going up to reflect the potential risk in the utility sector as well as the overall required return given the current economic times. So it will be nice as we go into our next General Rate Case which likely would be 2011 to the extent commissions are granting higher ROE's, I think that will be reflective of the risk and the appropriate return for equity investors in the utility sector.
Operator: Your next question comes from [Sarah Acres – Wachovia]
[Sarah Acres – Wachovia]: I think last time on the call regarding the Southern Crossing project you said that you were in talks with potential co-owners. I was wondering if there's been any progress in securing the partners and then just an update on the outline of what the next steps are for that project.
James Piro: We are in conversation with other potential co-owners. We really haven't got too specific on what's going on in those conversations but there is a number of utilities in the Northwest who would have an interest in that line and so we are in discussions with them in terms of their potential partnership either through ownership or a contract for certain rights to the capacity. So that's kind of what we're doing. Our current plan is to have that project in commercial operations around 2015, again to link it up with the energy resource at Borgman. So that's kind of where we are in the process. We're going through right now all the feasibility studies in terms of how the transmission system would work within the context of the Northwest. Once those are completed, and we'll take it to the next step which is a more detailed analysis in terms of the economics. So we're doing a number of projects. We're starting the survey work for Environmental mitigation, where the transmission lines are going to go. This line is mostly an existing right of way so that should minimize some of the environmental impacts. And so that's the process we're going through. We hope to make a decision in terms of continued commitment to this project toward the end of 2009 as we complete our studies, finish our conversations with potential co-owners and get a better handle on the economics and cost of the project.
[Sarah Acres – Wachovia]: On the decoupling mechanism, is there anything that the regulators tried to separate the impact of efficiency and conservation versus just the economic decline, or is it just all kind of captured in there?
James Piro: It's really all captured in there. It's almost impossible, at least for the customers less than 30kw, it's impossible to determine whether it's resulting from energy efficiency or conservation. And frankly, either one is a good thing for our customers because it reduces our environmental footprint so I don't think they've tried to distinguish between the two. For the customers between 30 kw and 1 megawatt, those customers what we will have to identify specific energy efficiency measures that they implement and we'll work with the Energy Trust of Oregon to identify those specific measures. And then the customers larger than 1 megawatt, they don't fall into the decoupling mechanism. That's kind of where that is, and that's one of the concerns raised by COV. I think on the residential sector, but our view is that whether customers change their behavior and reduce our product or actually install measures that reduce the consumption of electricity like fluorescent lighting or other measures like weatherization, our customers and the company should be indifferent to that impact. So that's kind of where we are.
Operator: Your next question comes from James Bellessa – D. A. Davidson & Co.
James Bellessa – D. A. Davidson & Co.: I want to double check on your guidance. In the most recent quarter you had a couple of items that were one time or non recurring of nature. Are they built into the guidance?
Maria Pope: Yes, they are.
James Bellessa – D. A. Davidson & Co.: And how about Coal Strip outage and the select water withdrawal delay?
Maria Pope: Yes, both are baked in.
James Piro: On the water withdrawal, our assumption is that the project would continue on the construction work in progress and then would go into service, go into rates when it goes into service. We think that's a minimum of four months and we do not yet have a final date on when that would go into service.
James Bellessa – D. A. Davidson & Co.: Are you winding up for the potential of these Trojan grant options or are you still kind of iffy on that?
Maria Pope: We're currently assessing them and we're looking for a little bit more information in regards to how the rules are applied and particularly around some of the normalization issues. We are more enthusiastic about the grant than the PTC's but there are still some unknowns that we need to resolve.
James Piro: We're trying to work with EEI and the other utilities in the industry to try to clarify those rules so we can maximize the value of the grants for our customers.
James Bellessa – D. A. Davidson & Co.: On your income statement this time you have a non controlling interest loss adjustment. Is this just kind of a one time occurrence or will it be occurring regularly?
James Piro: This is related to the Pro Lodges solar project that we've located on a roof top that a 1.1 megawatt facility, thin film technology and at the time we went through this, that transaction, the utilities were not able to utilize the investment tax credit.
Maria Pope: What we did was we increased our depreciation and amortization by about $7 million and then added back the $7 million, the exact same number to net loss contributed to non controlling interest. You'll remember that we are the minority partner at this point. We contributed about 7% of the project cost. We're just under $700,000 and the tax equity partner will receive the majority of the benefit of all the credits as well as the accelerated depreciation. When we take ownership in five years, we will be reflected the value at that time as a one time item on the statements ended March 31.
James Bellessa – D. A. Davidson & Co.: And in five years, you're going to buy it from your partners?
Maria Pope.: Yes. It will automatically revert. The ownership changes in terms of structure.
James Piro: It switches from 95/5 to where we own 95% and then we have the option to buy their additional 5% out. But it flips to us in approximately the fifth year.
James Bellessa – D. A. Davidson & Co.: Other than the 5%, there's no money transferred to the other parties?
James Piro: Other than the 5%, no.
James Bellessa – D. A. Davidson & Co.: On your operating, I don't see any entry for regional power credits. Don't you get any of those credits any longer for your customers?
James Piro: We still get those credits. It's in the line call other retail revenues.
Maria Pope: In the quarter ended March 1, we got $16 million.
Operator: Your next question comes from [J. D. Malik – Goldman Sachs]
[J. D. Malik – Goldman Sachs]: I wanted to ask about the industrial demand going forward.
Maria Pope: Our industrial demand is looking strong. When we last spoke at the end of February, we were expecting about 3% increase and we're not seeing it quite as high but we are seeing an increase year over year, and a lot of that is driven by what's happening in the solar area. We have four strong solar companies that are doing quite well in particular, Sanyo and Solar World are in our service territories.
[J. D. Malik – Goldman Sachs]: . Can you provide any time lines for renewal RFP?
James Piro: Here's where we are in the process. As you know, we went out for 218 average megawatts. We did get a short list together. We then started negotiations with that short listed set of parties on their specific projects. During this negotiations, capital markets have kind of gone south on a number of these developers where they can no longer access the capital markets, and they are now talking to us about potentially us taking the ownership control of those sites. So as part of our due diligence, we've had to go in and look more specifically at the sites and two issues have emerged. One is making sure that we have transmission capacity to get the power out to our system and secondarily, just the availability of turbines related to those sites because many of these sites came with specific turbine vendors and we want to make sure that we've done the diligence on those turbine vendors to make sure we're comfortable with the characteristics of those turbines. So the negotiations have taken a little bit longer. We're still in active negotiations and again, we hope to have something to announce in 2009. We'd like to get these built in the 2014 time frame. I don't think we'll need the full 218 average megawatts, but that's the full list that we're looking at right now.
Operator: Your next question comes from [Jeff Coviello – Duquesne Capital]
[Jeff Coviello – Duquesne Capital]: The $41 million you reference earlier in the call was for the RAC filing, but that's mostly for Biglow Canyon II, right? I presume that the end of 2010 and 2011 you'll file a similar filing for Biglow Canyon II, is that correct?
James Piro: That's correct. We did have a little bit of Pro Lodge, a couple of the solar projects, but it's really, really tiny. The $41 million included $35 million for the revenue requirements for 2010 plus about $6 million for the deferred cost for 2009, and then we also had some power cost reductions in the annual update of about $15 million.
[Jeff Coviello – Duquesne Capital]: Does that include the annual update on power costs as well or is that a separate file?
James Piro: That's a separate filing. It's called the AUT filing and that reflects the benefits of Biglow Canyon Phase II in terms of power cost. It's kind of in two places. One's got the fixed cost and the other one has the variable costs.
[Jeff Coviello – Duquesne Capital]: And the selective order withdrawal system, that's been delayed. I think you had filed for about a $13 million revenue increase which I gather, if it's included in '09, it's included a lot later in '09, so is that something to think about as a revenue increase going into '10?
James Piro: It will depend on when that goes into service. It's about $1 million a month and so whenever that goes into service, then we would hope to have prices go into effect to cover the cost of that, and during the interim we will continue to book AFDC on the capital. Our share to capital is about $80 million of the total of about $110 million. This is a complex project and it's not surprising as you go into these things something things happen. It's kind of a state of the art project and I think we'll recover okay and I still think we fundamentally believe the project will work once it's completed. And we have been in conversations with the fish agencies and they're understanding of the challenges of this project and still very supportive of the project.
Operator: Your next question comes from [Mark Bishop – Boston Company]
[Mark Bishop – Boston Company]: What is your expected change in pension expense this year?
Maria Pope: We're forecasting about $300,000 to $350,000 to the income statement. We have delayed our expectation with regards to cash funding in 2010 probably up to that $12 million instead of the previous $23 million to $25 million we had considered as a result of changes in the Pension Protection Act.
[Mark Bishop – Boston Company]: $10 million in 2010?
Maria Pope: It would be up to $12 million in 2010.
[Mark Bishop – Boston Company]: Up to $10 million in 2010 versus your prior expectation of $20 million?
James Piro: No, that's our funding requirement. It's not necessarily income statement. So it's a matter of having to put additional funds into our pension plan.
[Mark Bishop – Boston Company]: It used to be $20 million?
Maria Pope: $20 million was our last expectation that you can find in our 10-K.
[Mark Bishop – Boston Company]: Okay, now it's only $12 million, and you pension expense change is only $350,000 this year?
Maria Pope: Yes.
James Piro: That's the FAS-87 expense which is more of a smoothing calculation that reflects both gains and losses from prior periods.
[Mark Bishop – Boston Company]: Is that change in your rates or do you have to eat that until you get the next rate case?
James Piro: We typically just include that in the next General Rate Case. We are looking at 2010 to see how big the expense would be in 2010 and a lot of that will depend on how the assets earned during the rest of the year, and we may look at some potential deferral for that. But right now the current methodology is we put it in a General Rate Case and we forecast it.
[Mark Bishop – Boston Company]: So in other words, you're eating it for the moment.
James Piro: It's tiny, but I think in the rate case we assume zero.
[Mark Bishop – Boston Company]: What is your rate base currently in your regulated rate base?
Maria Pope: The average for this year is $2.3bmillion.
[Mark Bishop – Boston Company]: 2009 average is $2.3 billion?
Maria Pope: Yes. And that does not include Biglow Canyon.
[Mark Bishop – Boston Company]: So the Biglow Canyon is how much this year on average?
Maria Pope: That is $240 million I believe.
[Mark Bishop – Boston Company]: That's the total spending that's excluded?
Maria Pope: Yes.
[Mark Bishop – Boston Company]: In your earnings, do you somehow calculate some EPS on that Biglow Canyon?
James Piro: The way it works on Biglow Canyon, because of the renewable energy adjustment costs, we book AFDC during the construction of the plant, so that's non cash earnings. That would go until the plant goes into service and then under the renewable energy clause, we defer the net cost. So that's including the power cost benefit less all the capital costs including depreciation and a full return on capital until the end of the year and that's the number that Maria reported. $6 million, that's the deferred benefits or deferred net cost of the project. So we get a full return. It's still all non cash during 2009 and then it turns into increases in customer prices starting in 2010.
[Mark Bishop – Boston Company]: Non cash 2009, $6 million and you get it in rates 2010.
James Piro: Actually in price, it's starting January 1, 2010.
[Mark Bishop – Boston Company]: And it's the $6 million difference.
James Piro: That $6 million deferral is from the point the project goes into service until the end of the year,.
[Mark Bishop – Boston Company]: But that's not the return on the $240 million.
James Piro: That includes everything; both the return on capital, the depreciation less the power cost benefits.
[Mark Bishop – Boston Company]: So in your EPS you get a return on the equity part of your $2.3 billion rate base, plus you're also getting an equity return calculated on your $240 million, that's not in the rate base yet, is that right?
James Piro: The $240 million is the average rate base for the year not just the full cost. The full cost of Biglow Canyon is much greater than that.
Maria Pope: Yes, $320 million.
[Mark Bishop – Boston Company]: You're getting a 10% ROE, you're getting that on the equity part of your $2.3 billion plus you're getting, you're calculating also an equity percent on the $240 million average for Biglow Canyon, you get a return on that for the year. That's non cash, is that right?
Maria Pope: Yes.
[Mark Bishop – Boston Company]: So that would be your allowed return and then you have some things that are kind of hits against your allowed 10% so this pension is kind of tiny, and then you have the demand being lower than normal is also kind of a hit that you eat until the next rate case, or until the band you would eat it.
James Piro: Part of that is covered through decoupling. On the residential, commercial side it's covered through decoupling.
[Mark Bishop – Boston Company]: Does the decoupling have a band where you eat part of it first?
James Piro: No, it's just a straight calculation. It's a weather adjusted calculation so the only think you're potentially exposed to is the power cost component of it. It could be either above or below that average cost in rates.
[Mark Bishop – Boston Company]: You don't eat anything at all for this volume change.
James Piro: For the residential, commercial component of the load reduction.
[Mark Bishop – Boston Company]: I thought you said on volume that you expecting to be down 1% for the year because of industrial demand, and then you said I thought that industrial demand is not as strong as expected by still up.
James Piro: It's up but it's not as high as we forecasted as part of the General Rate Case. So when we did the General Rate Case we projected certain industrial loads and those projections were done before the downturn in the economy. The downturn started in October. By that time, we had already set our load forecast, so I think it's a relative measure. So we had projected a little stronger industrial growth, and even through it's growing this year, it's not growing as much as we had anticipated.
[Mark Bishop – Boston Company]: So that would be a hit because the industrial part is not covered by your decoupling and so the 1% decline versus, what was in your rate case, the expectation was growth or zero?
James Piro: Overall growth, approximately a little less than 2%, about 1.7%.
[Mark Bishop – Boston Company]: 1.7% was forecast in the rate case. Instead it's negative 1%. Most of that change is industrial which you have to eat for the moment for this year which is all within your guidance. I'm just trying to get to the calculation. Is that a fair way to state that? Those were my questions.
Operator: At this time there are no further questions. Are there any closing remarks?
James Piro: Thank you. We appreciate your interest in Portland General Electric and invite you to join us in a few months when we report on second quarter 2009 results. If you have any additional questions, please contact Bill Valach who will be available after this call. Thank you again for joining us today.